Operator: Greetings, and welcome to The Real Good Food Company First quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator instructions]. As a reminder, this conference is being recorded.  I would now like to turn the conference over to your host, Chris Bevenour. Thank you and over to you.
Chris Bevenour: Good morning, and welcome to The Real Good Food Company's First Quarter 2022 Earnings Conference Call. On the call today are Bryan Freeman, Executive Chairman, Jerry Law, Chief Executive Officer, and Akshay Jagdale, Chief Financial Officer. You may access our first quarter earnings release which we published at approximately 7:00 a.m. Eastern Time today. If you have not had a chance to review the release, it's available on the Investors portion of our website at www.realgoodfoods.com.  Before we begin, I'd like to remind everyone that certain statements made on this call are forward-looking statements within the meaning of federal securities laws, and are subject to considerable risks and uncertainties. These forward-looking statements are intended to qualify for the Safe Harbor from liability established by the Private Securities Litigation Reform Act of 1995. All statements made on this call today, other than statements of historical fact, are forward-looking statements, and include statements regarding our projected financial results, including net sales, gross profit, gross margin, adjusted gross profit, adjusted gross margin, and adjusted EBITDA, as well as our ability to increase our net sales from existing customers and acquire new customers, introduce new products, compete successfully in our industry, implement our growth strategy, and effectively expand our manufacturing and production capacity. Forward-looking statements made on this call represent management's current expectations and are based on information available at the time such statements are made. Such statements involve a number of known and unknown uncertainties, many of which are outside the company's control, and can cause future results, performance, or achievements, to differ significantly from the results, performance, or achievements expressed or implied by such forward-looking statements. Important factors and risks that could cause or contribute to such differences are detailed in the company's filings with the Securities and Exchange Commission. Except as required by law, the company undertakes no obligation to update any forward-looking or other statements herein, whether as a result of new information, future events, or otherwise. In addition, throughout this discussion, we refer to certain non-GAAP financial measures, which refer to results before taking into account certain onetime or non-recurring charges that are not core to our ongoing operating results, and which we believe better reflect the performance of our business on an ongoing basis. Our non-GAAP financial measures, including adjusted gross margin and adjusted EBITDA, are referenced. A reconciliation of each non-GAAP financial measure to its most directly comparable GAAP financial measure, is included in our Q1 earnings release, which is available on our website under our Investors tab.  And with that, it's my pleasure to turn the call over to The Real Good Food Company’s Executive Chairman, Bryan Freeman.
Bryan Freeman: Hey, thanks, Chris. Good morning. Thanks for joining us today on our first quarter earnings call. Today, I will briefly review our Q1 financial highlights, and discuss the reasons we believe were well positioned for long-term growth and profitability. Jerry will cover our operations, and Akshay will then review our financial results in more detail and discuss our full year guidance. After that, we'll open up the call for your questions. Starting with our financial highlights for Q1, we started 2022 with strong financial results. Net sales increased 124% to $37.6 million, compared to $16.8 million in the first quarter last year. Growth in the unmeasured channel accelerated to 200% this quarter, despite lapping broad distribution a year ago, driven by best-in-class velocities and distribution gains. Retail channel growth was 78% this quarter, driven by strong velocity gains in our core products. We expect growth in the retail channel to accelerate in the coming months as we introduce new products and grow the distribution of our existing core products. Our retail business, which is 100% branded, is on pace to achieve approximately $100 million in net sales on a run rate basis, which is an important milestone. However, we continue to believe our brand is still in the early stages of growth and has a long runway ahead. Additionally, we continue to make progress towards our plan to be up here average margins, despite significant cost headwinds. Gross margins this quarter were in line with our expectations, and we continue to expect significant improvement in the second half of 2022, driven primarily by our investment in our Bolingbrook facility, productivity initiatives, and better net price realization. As such, we are updating our guidance for 2022 to reflect a strong start to the year and our expectations for a better second half of 2022. For 2022, we are raising our revenue guidance to be in the range of $150 million to $160 million, compared to $140 million to $150 million previously, and narrowing our adjusted EBITDA loss range to a loss of $4 million to $9 million. Although inflation continues to be a headwind, we have good visibility into our cost structure, and have greater conviction in our productivity agenda, which is underpinning our confidence in updated guidance. Furthermore, we now expect to be adjusted EBITDA positive in the fourth quarter of 2022. Akshay will go into greater detail in a few minutes. As you can see from our first quarter results and guidance, our growth continues to be strong, but we're not satisfied. Keeping up with demand for our brand has been one of our biggest challenges. And with Bolingbrook adding capacity in Q2 and Q3, we believe we are still in the early stages of a robust long-term growth journey. We reiterate our belief that our brand has the potential to get to $500 million in sale. What gives us conviction about this outlook are the positive trends we continue to see with our four brand health indicators. These indicators are; household penetration, repeat rates, social community growth and engagement, and velocities. Starting with household penetration. According to Numerator, The Real Good Food’s brand has a household penetration of 8.3%. We're up from 7.4% in March. This is approximately one in every 12 US households has our product. In fact, our household penetration now ranks number two amongst all health and wellness frozen brands, behind only Amy's, which is over a $500 million brand at retail. Keep in mind, we're only a little more than five years since our founding, and to be at these levels of household penetration, speaks to how our brand position resonates with a broad consumer base within a large total addressable market. And despite rapidly growing household penetration, our repeat rates are 33% and in line with our peers. Turning next to social community growth, The Real Good Food’s community has continued to grow. In the first quarter, our social media platforms generated more than 18 million targeted impressions through various digital tactics, propelling our retail success on shelf. Rather than traditional advertising, our tactics are based on authentic, compelling, peer-to-peer conversations through thousands of micro nano influencers. This is an efficient way to build engagement and loyalty through conversations, DMs, Reels, TikTok videos, SMS text, and the like, without burning millions of dollars in inefficient ad spend. I've said in the past, this capability is rare, and the sheer number of RGF followers is greater than all frozen food brands owned by ConAgra combined, and the same is true for Nestle. But besides scale, engagement is important. During the period, we saw recent Instagram posts attracting thousands of comments across more than 421,000 of our followers in the first few hours of posting. The average number of comments on each of our Instagram posts, exceed any of the top seven health and wellness brands in our category by five times. So, why does this matter? It matters because this unique capability enables us to drive new users to the categories we participate in, and also efficiently feed demand for new products before they come on shelf. This leads to greater household penetration and incremental category growth for our retailer partners. When we help grow categories, our retail partners win and we win. This gives us permission to continue to expand our offerings and our distribution. A recent example of this is our national launch of our new grain-free, low-carb, high-protein, Crispy Shell Tacos into more than 10,000 new distribution points. It's still early days, but we are pleased with the initial velocities we are seeing for the item and our community's enthusiasm for it.  And finally, velocity. Our velocity metrics are exceeding our expectations. According to spends, over the 12-week period in the March 20, Real Good Food’s brand retail sales grew 68% year-over-year, which is a significant acceleration compared to 30% over the last 52-week period. Growth is being driven primarily by baseline velocity growth and growth in core items. It should also be noted that our velocity growth in the first quarter occurred while we took broad-based pricing actions. Thus far, we've not seen any negative impacts demand related to price elasticity. These strong brand health indicators underpin our confidence in achieving over $500 million in sales and are what gave us confidence to make the investment to increase capacity with our new manufacturing facility in Bolingbrook, Illinois. The facility began production in March of our new breaded poultry offerings, and the phased production ramp-up is on place and on plan to add approximately $200 million in incremental capacity by the end of the year. This will enable us to match capacity with a long and short-term demand for our products, and also significantly accelerate our margin improvement efforts. Jerry will discuss the ramp-up in more detail, but we continue to expect to be EBITDA positive in 2023, a full year ahead of schedule, owing to our Bolingbrook investment.  Next, I will briefly touch on our 2022 innovation pipeline. As a reminder, our strategy can be characterized as fewer, bigger, better, and faster. For 2022, we're focused on breaded poultry, Asian multi-serve entrees, and expanding our breakfast platform. This is meaningful innovation that will extend our brand in massive, high-velocity categories, representing approximately $5 billion in retail sales on aggregate. These categories are all ripe to be disrupted by our brand promise, because there's very little to no healthy nutrient-dense options on the market today that are credible. For poultry, we've designed a unique breading system that is gluten-free, grain-free, reduces carbohydrates, and has no added sugar, and it increases protein. This delicious and highly differentiated product design is poised to provide consumers with a chicken nugget or chicken strip that they can feel good about serving to their families. We're excited about this launch and are happy to report that we started shipping these new products this quarter. Customer acceptance of our new products has been strong so far, and we'll have a good read on consumer acceptance and velocities over the next few months.  In addition to chicken strips and nuggets, we are also introducing our new line of Asian entrees that come in multi-serve and single-serve formats. Unlike conventional Orange Chicken, Sweet and Sour, and General Tso’s, our versions of these favorites have very little sugar and carbs and are higher in protein. We believe our Asian and breaded poultry platforms could represent $100 million to $200 million opportunity. And because our product is highly differentiated, our retailer partners have shown enthusiasm to bring these to shelf. We will see this play out over 2Q and 3Q. We are also launching a potato tot substitute that provides protein and fewer carbs than traditional potato-based tots. Again, this is what we believe is breakthrough innovation that can be used in multiple form factors. We are taking this innovation and using it to build out a line of breakfast bowls, which will add to our portfolio and facing to breakfast, as well as new plant based-offerings and entrees. Bolingbrook enables our entry into these categories and gives us much needed capacity to meet the growing demand for existing products.  And now, I'd like to turn the call over to our CEO, Jerry Law, to talk about Bolingbrook and operations more broadly.
Jerry Law: Thanks, Bryan. Good morning, everyone, and thank you for joining today's call. Our team continues to push hard to keep up with a strong and accelerating demand for our products. In fact, we have more than doubled our production since the beginning of 2021, and operated at above 100% capacity utilization in the first quarter of 2022. Despite the significant increase in our production capacity, strong demand continues to outpace production capacity. We saw this coming late last year, and made the decision to invest in our new manufacturing facility in Bolingbrook, Illinois, which started coming online in March. For perspective, our first production one was six months from the time we signed the lease, which is unprecedented. It typically takes at least 18 months for a new plant to come online. Speed has always been one of our major competitive advantages, and the ramp-up of our Bolingbrook facility is no exception. As a reminder, Bolingbrook is two times the size of our existing City of Industry facility, and will have the capacity to produce approximately $250 million to 300 million in sales at full capacity.  As we communicated on our last earnings call, our plan has been to bring the capacity on in phases. We expect to add approximately $200 million in incremental capacity by the end of this year in five phases. We have completed the first phase, and remain on track to complete the second phase in June and the fifth final phase by the end of 2022. The ramp-up is not linear, with the first two phases being the least additive, as well as the least efficient. Phases three to five, are expected to be completed in the second half of 2022, and will yield the greatest efficiencies and add the most capacity compared to the other phases. We have built quite a bit of flexibility into the design, such that the plant is capable of producing a vast majority of our existing products, as well as new products Bryan mentioned. We remain on track to add $200 million in capacity over the next six to nine months, and have the ability to add another $100 million in capacity relatively easily and efficiently in short order after that. For the first time since I joined Real Good Foods, we will be in a position where we can not only meet 100% of the demand, but also leverage our best-in-class sales, innovation, and marketing teams to drive incremental demand and accelerate our growth even further. Products made in the new facility will have structurally lower costs, driven by labor costs, high throughput, and the plant's proximity to lower cost raw material supplies and our major distribution hub. Overall, we believe this new facility puts us in position to meet our long-term goal of achieving $500 million in revenue, as well as significantly accelerates our margin improvement. The added benefit of bringing Bolingbrook online, is that it will relieve pressure from our City of Industry facility, which has been operating at over 100% utilization rates, resulting in some inefficiencies. We expect the COI facility to operate much more efficiently once Bolingbrook has ramped production.  Before I turn it over to Akshay, I would like to touch on our margin drivers for 2022, especially in light of this inflationary environment. We expect direct material inflation to be in the high single digits to low double digits in 2022. We have several initiatives in place to offset these higher costs, including higher pricing, trade optimization, and cost productivity initiatives. The biggest offset is productivity, followed by pricing and trade optimization. Given how early stage we are in our productivity agenda, the savings we have identified for 2022 represent approximately 10% of our cost base, which is two times our long-term target of 5% gross productivity. We continue to evaluate further pricing actions, but believe the pricing we have in place, along with the productivity initiatives, will enable us to deliver on our gross margin guidance of 17% to 23% for 2022, which remains unchanged. With all this exciting activity, we believe we are in the very early innings of growth and well positioned to capture market share in frozen categories in which we compete.  Now, I would like to turn the call over to Akshay Jagdale, our Chief Financial Officer, who will walk you through our first quarter financials.
Akshay Jagdale: Thank you, Jerry, and good afternoon, everyone. We're pleased with our first quarter financial results and the significant opportunity for growth ahead. Net sales in the first quarter were a record $37.6 million, up 124% compared to the first quarter last year. Sales growth in the first quarter was primarily due to strong growth in our core products, entrees and breakfasts, driven by strong growth in the club channel, greater demand from our existing retail customers, and new customers. We happen to be in the early stages of explosive growth in the club channel, which resulted in this channel driving a disproportionate amount of our growth in the first quarter. Club channel growth remained strong in the first quarter, with sales growing 202% compared to the first quarter of last year, driven by distribution gains and strong velocities. Recall that this is the second full quarter of lapping our launch into the club channel, which makes the 202% growth stand out that much more. We expect club channel growth to remain strong in future periods, as we continue to expand our sales with existing customers and acquire new customers. Retail channel growth continued to be robust at 78% compared to the first quarter last year. There's strong momentum in our retail business, with this channel approaching the $100 million threshold on a run rate basis. There is strong momentum in our retail business, with this channel approaching the $100 million threshold on a run rate basis. This strong growth in the retail channel is being driven by recent new customer wins, expanded distribution with existing customers, continued strong velocities in core products, and new product innovation.  Our first quarter gross profit was $4.2 million, reflecting a gross margin of 11.3% of net sales compared to gross profit of $4 million or a gross margin of 23.9% of net sales in the first quarter last year. Notably, gross margins improved 640 basis points sequentially compared to the fourth quarter of 2021, driven by higher product contribution margins and improved plant overhead leverage, partially offset by higher COVID-related costs and freight costs. Adjusted gross profit during the quarter was $6.5 million, reflecting adjusted gross margin of 17.2% of net sales, compared to $4.8 million or 28.4% of net sales in the first quarter last year.  Adjusted gross margin of 17.2%, was generally in line with 4Q ‘21, as well as our expectations and guidance for the quarter, and reflects significantly higher labor and direct material costs, only partially offset by pricing and productivity measures. As the year progresses, especially in the second half of 2022, we expect our gross margins to improve sequentially, driven by better net price realization and greater contribution from productivity measures. We also expect our labor costs to be lower in the second half of 2022, enabled by automation and the ramp-up of our new fully automated Bolingbrook facility. We expect to exit 2022 with structurally lower costs, especially on labor. Beyond 2022, we have a long runway of productivity savings that will drive incremental margin expansion. Recall that we expect to generate at least five percentage points of gross productivity savings annually, and expect that over time, we'll be able to drop at least two percentage points of this to the bottom line, net of inflation.  As Jerry mentioned, we're in the very early stages of our resting productivity savings, and expect gross productivity to be in the double digits as a percent of COGS in the short term. In other words, in the short term, we are relying more heavily on productivity initiatives than pricing to offset inflation, which we believe is the right strategy for a brand in our stage of growth. Moreover, our strategy seems to be working, given the strong velocity growth and share gains we are seeing across our portfolio, despite taking prices up. Total operating expenses were $12.9 million compared to $6.4 million in the first quarter of 2021. Adjusted operating expenses were $10.2 million, compared to $4.9 million in the first quarter of 2021, or an increase of approximately $5.3 million. The increase in operating expenses was primarily driven by selling and distribution expenses to support the growth of the business, increased personnel expenses related to the build out of the company's operations, finance, and leadership teams, and increased investments in marketing and research and development. As a percentage of sales, adjusted operating expenses were 27.1%, compared to 29% in the first quarter of 2021. The reduction in operating expenses as a percentage of sales, was primarily driven by lower distribution costs, reflecting the successful execution of our strategy to drive our costs lower to be more in line with our peers. This was partially offset by 100 basis point increase in marketing costs as a percentage of sales, and a 40-basis point increase in administrative expenses as a percentage of sales. Adjusted EBITDA was a loss of $3.3 million, compared to gain of $0.1 million in the first quarter of 2021. Sequentially, as compared to 4Q ‘21, the adjusted EBITDA loss narrowed by $500,000, and adjusted EBITDA margin was 630 basis points better. The sequential improvement in adjusted EBITDA was driven by operating expense leverage and lower distribution costs as a percent of sales. We expect adjusted EBITDA improvement in the second half of the year, driven by factors mentioned earlier, including higher price realization, higher productivity savings, lower labor costs, and continued fixed cost leverage. Turning now to our outlook. As Bryan mentioned earlier, for the full year 2022, we are raising our net sales guidance to reflect the stronger than expected performance in 1Q, and our expectations for a better second half of 2022. We now expect net sales of approximately $150 million to $160 million, reflecting an increase of approximately 78% to 90% compared to 2021. This is up from 66% to 78% previously. We're maintaining our adjusted gross margin guidance in the range of 17% to 23%, but have greater confidence in delivering within the range, given our expectations for greater productivity savings. And we're narrowing our adjusted EBITDA guidance to a loss of $4 million to $9 million.  Now, shifting to our balance sheet and cash flow. As of March 31, 2022, we had cash and cash equivalents of $14.4 million, and total debt of $22.7 million. Since we went public, we have been operating this business under the assumption that we will not raise a dime more of equity capital. Our cash balance of $14.4 million, combined with our unused revolver capacity of $35.5 million, provides us with liquidity of $49.9 million, which is more than enough for us to fund our business for the foreseeable future. To provide more clarity and so as to remove any doubt, note that we burned only $4.7 million in free cash flow this quarter, and we have no more one-time cash outlays remaining related to the transaction.  We expect free cash flow trends to improve as the year progresses for all the reasons mentioned earlier. But even if they don't, we have more than enough liquidity to fund our business for close to three years. As a reminder, it is important to note that the Bolingbrook facility and equipment is being leased, with cost flowing through the P&L, and there is no cap expending associated with that plant. Also, we continue to expect to be at least EBITDA breakeven in 2023, a full year ahead of our initial plan, with limited CapEx requirements. All considered, we have ample liquidity to fund our current needs and execute the plan we have laid out. With that, we're now available to take your questions. Operator?
Operator: [Operator instructions]. First question comes from the line of Jon Andersen with William Blair. Please go ahead.
Jon Andersen: Yes, thank you. Good morning, everybody. My first question is related to guidance, the sales guidance. You took that up about $10 million or $10 million at the midpoint. Could you talk a little bit more about what is in the guidance now and maybe what is still not in the guidance. You've talked in the past about holding some of the new product revenue coming out of Bolingbrook out of the guidance. So, just an update there on what's in and what's out and what gave you the confidence to take it up another $10 million. Thanks.
Bryan Freeman: You bet. About 70% of the change in guidance is coming from the measured channel, and it's really in large part due to better-than-expected velocities on the items. And with regard to Bolingbrook and the impact of our innovation, we generally do not include innovation, as you know, Jon, into our guidance until we have firm orders and on-shelf sales data. Good news is, we have orders for all of our new products, but very limited understanding of trial and repeat data. So, we’re holding firm on our discipline and approximately 40% of the increase in guidance is driven by innovation.
Jon Andersen: Great. That's helpful. Thank you. I guess a question on the new products. You mentioned that you have orders for - I guess that would include the breaded poultry items, the Asian entrees and some of the new breakfast items. Can you talk about just generally speaking, retailer acceptance, maybe the breadth of distribution you're expecting kind of out of the gates? I think there's a reset right in the - going on about now that you were working to be able to kind of fit into with the Bolingbrook production. So, just some color around the customer acceptance of the new products and what kind of distribution you're expecting on those, kind of right out of the gate.
Bryan Freeman: Yes. I mean, retailer acceptance and enthusiasm for the innovation has been strong. Reset timing will play out this quarter and also in Q3. We are seeing a lot of resets occurring in Q3 as well. So, it's going to play out over the next three, four months. But in terms of points of distribution, we feel very good about it and we'll see how it plays out. But again, it’s still not - we don't include that in our guidance, Jon, so. But we feel good about where we are today. Again, getting distribution is one thing. Trial and repeat is everything. So, we'll see how this plays out over the next couple of quarters, but I like our chances
Jon Andersen: And just remind me, the innovation is really going into the retail measured channels to start. Is that accurate?
Bryan Freeman: I think that it - we’ll also see this come into the unmeasured channel as well.
Jon Andersen: Okay. Last question and I'll get back in the queue. You talked a lot about the productivity you expect and getting to kind of EBITDA positive by the end of the year this year. On the gross margin line, it sounds like there's a lot of improvement potentially coming in the second half of the year as Bolingbrook ramps up, as pricing kind of fully takes effect, as some of your trade optimization work ramps. What kind of gross margin rate should we expect in the second quarter? Is it kind of a modest improvement sequentially and then a bigger step in the second half? Or is it more uniform improvement as we move through the year? Thank you.
Bryan Freeman: Yes. Bigger step in the second half. I really wouldn't change our 2Q expectations. But what I can tell you is, the unlocks we're finding and we have a very high conviction, are coming online in the back half, are significant. Not sure if Jerry had any other comments you'd like to add to that?
Jerry Law: Yes. Jon - or Bryan, you said it correct. And Jon, the big step is in the second half. Keep Q2 the same. And the unlocks we’re finding are real, and it's about getting through that startup in Bolingbrook. And we have a really broad agenda as far as our productivity, and we've been executing with excellence against it. And Akshay can give a little more comment on the margin line that's going to be resolved. Akshay?
Akshay Jagdale: Yes. Thanks. So, thanks for the question, Jon. Good morning. As we look at the margin improvement, most of it, as you know, and as all of you have modeled, is in the second half, and that's driven primarily by the automation in Bolingbrook coming on in a big way. And it will sequentially in the second half even get better as we enter 4Q. Yes. And as far as this quarter goes, there's still a lot of the quarter to still be completed, but I think the way the numbers look on the Street seem to be appropriate. We've got a major plant coming online. We've got a lot of new products that we're introducing. All of that has incremental costs associated with it, but I think that's already part of our outlook. So, we're not changing our internal outlook, and I think the way you have it modeled seems to be appropriate.
Jon Andersen: Thanks so much.
Operator: Thank you. The next question comes from the line of Bill Chappell with Truist. Please go ahead.
Bill Chappell: Thanks. Good morning. Just wanted to talk a little bit about the - I guess, kind of the new products, the new innovation that's coming in and where it's coming in, and just trying to understand the thought process of, will it go in with its similar kind of competitive products, or are you trying to build kind of blocks of Real Good Foods at each retail door?
Bryan Freeman: Yes. Hi. Good morning, Bill. In the case of breakfast, we're building out a block. Our breakfast sandwiches, which have been on shelf for over a couple of years, have leading category velocities. And so, because of that, we have permission to extend into other form factors. So, you'll start to see our breakfast bowls, where we have - conventional breakfast bowls are loaded with potatoes and carbohydrates. You'll see our breakfast bowls roll in using our potato tots innovation in that bowl. And so, you'll see that kind of build out the block. We've also got these breakfast protein bites, which are a handheld to bite, really tasty product. And so, we'll build a block out in breakfast. Bread and poultry, that'll be a new door for us. It's a high velocity category, and we're excited to get the product on shelf and see how the velocities look there. And the same is true with multi-serve Asian. Today, that category or that door is dominated by products that have over 40 grams of carbohydrates, 21 grams of added sugar. We think that there's a consumer out there that cares about nutrition, and we think we have an opportunity to bring new users to that category.
Bill Chappell: And I guess with that in mind, do you need to alter your kind of marketing advertising just to better educate, since it's - I know the core consumer is used to your core products and comes back and maybe they will walk to different doors. But just trying to understand if you need to, or if you're looking to step up things just on the education part over the next six months.
Bryan Freeman: For us, our community - our mission is to not only broaden our community, but also, it's pretty simple, finding food solutions that replace what we all want to eat in a more nutritious way. And so, we're in multiple categories today, and we see cross-purchase data in our basket. So, in other words, we can look at what's in the basket of consumers that purchased an item from one category, and we could see what percent of those baskets they went over and bought a product from a different category. So, one way that retailers win with us is, we can bring users from one category to their - to a new category for them. And we start from that base and then grow from there. Secondarily, the current users of the high carbohydrate product are going to see our nutritional claims on our front panel, and hopefully we can have an impact there as well.
Bill Chappell: Got it. And then just one cost - on the cost front. I mean, this time last year, labor was an issue just because there was a shortage and wage inflation. I understand Bolingbrook is helping because it’s very low labor. But are you also going to see some kind of incremental benefits in the back half just from the overall labor picture getting better, or is it really just the incremental dollar coming from Bolingbrook is higher margin?
Bryan Freeman: Let me answer this at a high level and then I'll toss it over to Jerry. One major unlock, Bill, is just relieving the - some of the volume away from City of Industry. Jerry mentioned it in his opening comments that we're well above 100% utilization in that plant. And when you do that, efficiencies just kind of go out the window. So, I think that by reducing the volume out of industry is going to have a big impact. Secondarily, we are seeing attendance rates really improved in during - pre-COVID attendance rates, and that's a huge driver of being able to operate efficiently. So. we've seen improvement there with our workforce, but I'll toss it over to Jerry from there.
Jerry Law: Yes. Bryan, I mean you nailed it. So, it's - we have seen just an overall improvement in the workforce in industry. Bolingbrook, we have had no issues so far finding labor. And as Bolingbrook comes up, we will relieve the volume that's coming out of City of Industry so that we can schedule more efficiently. Generally, once a plant starts to hit over that 80, 85% capacity range, you start to have trouble scheduling efficiently. So, we've been dealing with that for quite some time. We've gotten good at it, but we're getting through those problems. And Bolingbrook is an exciting part of what we're doing, and we're looking forward to that step change. And the Bolingbrook go live has been going pretty much as planned. It's the plan - we've gone through this step startup process, which we thought was prudent. We're not trying to fire the whole thing up at one time. The plant was idled for some time. So, we knew we were going to have some startup blues, and we had the first lineup. We've got the next couple of lines coming on in a handful of days. And so, we're just continually going through our process of bringing those things up and it's giving us the confidence in what we're able to deliver. Akshay, do you have anything else to add?
Akshay Jagdale: Yes. Just quickly, I think you guys covered most of it, but Bill, the labor rate, if that's what you're asking, is not a material factor in our guidance. If that does come down and if availability does increase significantly, that's not factored into our guidance. Our guidance basically assumes the benefit from automation. So, less labor as opposed to the cost for labor. If that does come down and we are seeing some trends early days of better availability, if that does come down, that would be incremental to what we have guided.
Bill Chappell: Sounds good. Thanks for the color.
Operator: Thank you. The next question comes from the line of Rob Dickerson with Jefferies. Please go ahead.
Rob Dickerson: Great. Thanks so much. I just have - my initial question is just a kind of broader question in terms of retail channel mix kind of visibility you have as you get through the year, given the increased capacity of the new items. Like, obviously household penetration is going great. Repeat rates are impressive. And now you have the products or making the products to obviously increase distribution. Is there kind of like a broader strategy to kind of attack the non-club channel just given the percentage of sales is kind of high still in club. It seems like your success rates within club and also traditional retail, should give you some license to hopefully kind of expand your breadth in terms of retail partnerships nationally. So, just trying to get kind of a feel as to, if we look over the next year or two or three years, kind of how do you attack kind of that non-club channel
Bryan Freeman: The answer is yes. So, today, we're very underpenetrated in the measured channel. Approximately, only 14,000 stores, averaging about nine SKUs per store. So, our - but yet we have the second highest household penetration for a health and wellness frozen food brand in America. So, what that tells me is, this is still a young company and it's still early days. The way we attack it is number one, being focused on growing the categories for our retailer partners, and not focused on taking share. It's about incrementality. Good news is, with our highly differentiated brand position, we're doing that today for retailers. Number two, obviously, is velocity. When I look at Q1, I look at our velocities, it's exceeded our expectations. It was the driver for raising the guide. And so, with those two in hand, combined with our innovation that's real innovation, these aren't just line extensions, I like our chances to get the number of items per store dramatically increased over the coming quarters. And so, that's job number one for our sales and distribution team.
Rob Dickerson: All right. Super. Thanks a lot. And then just the last quick question, maybe more for Akshay. Longer-term, gross margin and expectation, let’s call it at least 30%, maybe 35%. A lot of drivers that would cause you to not hit that this year, which is fully understood. I'm just curious, as you kind of get to the end of the year, right, some of the productivity has come, but hopefully most, if not all, of the pricing actions have come through. Do you feel as if kind of - or hopefully as you kind of enter the end of this year and we think about next year, that kind of given that rate of productivity and kind of given the amount of pricing taken, that that should hopefully be kind of staging you then for let's say a little bit more of an inversion upward on that margin trajectory, assuming the cost structure on the input side remains stable? Or could you say, well, we'll have to see where the velocities go. Let’s see how strong the brands are, and if they're stronger, maybe we actually take more pricing. Or is that not where you want to be? You want to kind of remain a little bit more value-based kind of given the consumer backdrop? That's all. Thanks.
Akshay Jagdale: Yes. Thanks. I thought I ask multi-level questions, and you've surpassed me, but I think I'll be able to cover all these. So, let's - so the - if you look at the gross margin guidance that we've given, you take the midpoint, which we're reaffirming, you're going to be close to the mid-20s as an exit rate for 4Q, okay? So, I think that's where you'll end up, in the 23% to 25% range for 4Q on an unadjusted basis. So, how do we go from there to 30%, 35%? One, labor will continue to be better as Bolingbrook becomes a bigger piece and becomes more efficient, as we automate City of Industry more. So, I think there's at least 200 to 300 basis points on labor incrementally from there. And then the biggest other bucket that we're just still very early stages in harvesting is on procurement, on strategic sourcing. We're getting 10 points out of it this year. Our goal long-term is five points of gross productivity, with two dropping down to net, right? But we think that that's going to be the next big driver in ‘23, right? So, can we get three or four points out of it as we get past this inflationary stage next year? I think that's definitely possible. So, that would be the second biggest bucket. And the third one is overhead, where as we fill these plants up, as you know, we're adding about $200 million worth of capacity as an exit level by the end of this year. And when it's all said and done, that plant can - there'll be $275 million additive. So, as we fill that plant, you're going to see our overhead expenses reduce as a percent of sales. So, those are the three buckets and kind of timing-wise as well sequentially, I think you should see those play out. And magnitude-wise, the biggest bucket is going to be productivity.
Rob Dickerson: Got it. Super. Thanks, Akshay.
Operator: Thank you. The last question comes from the line of George Kelly with ROTH Capital. Please go ahead.
George Kelly: Hi, guys. Thanks for taking my questions. So, just a couple. Most of my questions have been have been asked, but just a couple for you. first, on the guidance change, revenue guidance change. Bryan, you mentioned a couple of times just in response to some of the questions that most of the - most of it is related to velocity of performance versus the original plan. So, I was just curious if there's a few products that you could highlight that are selling particularly well, or maybe it's more broad-based.
Bryan Freeman: So, our core items, George are entrees, and is really doing - they're really doing well in the measured channel, as well as obviously, unmeasured. And that's really what we're focused on. It's a huge category. I think it represents close to 75% to 80% of Amy's business. We have Amy's at over $500 million. So, it's great to see those category-leading velocities in there. Breakfast continues to perform well - as well, exceeding our velocity expectations. What that does for the business is it allows us to - it gives us permission to extend and build that brand block that I had spoken earlier about on the call.
George Kelly: Okay, that's helpful. And then last question for me, you talked earlier about being underrepresented in grocery. And so, my question is, is there a point, I don't know if it's later this year or next year, when you feel like it is - in order to really get that going, do you think you'll have to start spending more on advertising any time in the next year and a half or so? That's all I had. Thank you.
Bryan Freeman: As the business grows, we'll spend more just because we're - as a percent of revenue, that's kind of how we look at it. But frankly, we're very pleased with the efficiency of our spend today. It's targeted and it's authentic, and that's what our brand is all about. So, the idea that we think it's a good idea to go do traditional ad spend and show up on cable TV or whatever, is ridiculous. That's not what we're all about. What we're about is engaging with nano and micro influencers, people who live our brand and post and talk about us and have authentic conversations that are two-way conversations. And so, we're just going to continue to build that out. We're going to continue to build out our SMS subscriber base, and it works. And the good news is, throwing money at it isn't really the answer. It's really about just being intentional and dedicated. So, I still think that - the other thing I mentioned is just the sheer size of our TAM, and just in general, the size of the percent of population that's interested in carb and sugar reduction, and we - I think we all understand that our brand promise, what it - the impact it can have on the world, frankly, and it’s resonating with users today. 
George Kelly: Thank you.
Operator: Thank you. ladies and gentlemen, we have reached the end of our question-and-answer session, and I would like to turn the call back to Bryan Freeman for closing remarks.
Bryan Freeman: Yes. Thanks for joining us today. I look forward to speaking to you again at the upcoming investor events and on our second quarter earnings call in August. Have a great day.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.